Annie Ho : Good morning, everybody, and thank you for dialing into Swedbank's Second Quarter 2023 Results Presentation. My name is Annie Ho, Head of Investor Relations. And in the room with me today is Jens Henriksson, our CEO; Anders Karlsson, our CFO; and Rolf Marquardt, our CRO. Let's start with our usual presentation at the beginning and then follow up with questions. With that, Jens, I hand over to you.
Jens Henriksson : Thank you, Annie, and a warm welcome to everybody this summer day to the presentation of Swedbank's results for the second quarter of 2023. Swedbank stands strong. We have strong liquidity, strong capitalization and high profitability, and our proven business model delivers. A sustainable bank is a profitable bank that makes it possible for the many people and businesses to create a better future, and we are here for both people and businesses in tough economic times. Inflation has continued to trend lower in our home markets, but it remains at high levels, although, central banks are tightening, the global economy remains resilient. The International Monetary Fund, IMF stresses that it's vital to stay the course on monetary policy until inflation is durably brought down to the targets. And that means that fiscal policy must play its part by being restrictive, which implies that interest rates are expected to remain high for longer. Swedbank's profit for the quarter was up to SEK 9.1 billion, mainly driven by NII that increased by 7%. Lending margins on mortgages continued to decrease in this quarter by 6 basis points, but deposit margins continued to increase, although at a slower pace. Total cost was down compared to last quarter since cost related to investigations by authorities decreased. The underlying expense increased according to plan due to mainly higher IT costs and marketing. Our cost-to-income ratio was down to 0.31%. All in all, our return on equity during the quarter was 20.4%. Our credit quality is solid, and we have the confidence in our thorough and conservative origination standards. Total credit impairments decreased and amounted to SEK 188 million. The impairments are mainly model-driven. And if one looks at the provision for individual exposures, they amounted to around SEK 30 million. Our expert adjustments beyond what the model shows is now SEK 1.7 billion. Our liquidity and capital position is strong, and the increased countercyclical requirements in Sweden reduced our capital buffers by 70 basis points, but this was partly balanced by our profit net of expected dividends. Our capital buffer is thus 3.5% above the requirement from the Swedish FSA. Our exposure to everything property-related is in line with the bank's strategy and risk appetite, and we see that our customers had and continue to adapt to the economic conditions. Corporate business is a cornerstone of our operations because we are a bank for the many corporates in all our home markets. In Sweden, the new organization for corporates, institutions, C&I has begun to have an impact with a clear focus on profitability. Corporate lending was stable, while deposit decreased. In Estonia, Latvia and Lithuania, investor sentiment was positive with strong demand in the energy sectors. Private customers use Swedbank for their savings and their deposits increased in all markets. In June, we decided to increase rates for all our private customers' with deposits in Swedish krona. By that, we give interest on all private accounts for the full amount. Mortgage rates were raised on par. Altogether, Swedbank has a competitive full-service offering. In Sweden, the mortgage market was cautious though housing prices rose slightly. The trend among our private customers holds and that is they continue to save by amortizing on a broad basis. And we have also sharpened our focus on customer contacts and saw increased volumes at the end of the quarter. In Baltic Banking, our green mortgages grew by a little over 40% [Technical Difficulty] business in all our home markets, and we maintain our leading positions. We want to make our customers financial life easier, and we do that by meeting them, where they want. Investments in availability and efficiency is ongoing and great results. For example, the roll out of the cloud-based communication platform in all home markets. It is now in place in Latvia, Estonia and Lithuania and in Sweden, work is underway. We also see that digital availability was very good in the quarter. At the same time, we focus to improve availability in the Swedish customer center. And one action is that we have a new customer center site in Umea. Swedbank's climate position is aligned with the Paris Agreement's 1.5 degree goal. As a bank, we have responsibility and good opportunities to contribute to the climate transition, and we focus on advice and financing to our customers in all our home markets. On the corporate side, demand is growing for loans for sustainable investments and especially in the Baltic markets. And the financing to build 3 new large solar energy parks in Estonia is a good example of climate work. In line with our savings bank tradition, we now level up our engagement to contribute to financially sound and sustainable society by supporting local decisions of establishing foundations in Estonia, Latvia. We invest EUR 10 million in each country, so that the foundations can raise awareness on financial literacy and contribute to financial health, and this is a part of our solid 200-year-old tradition and our heritage from the savings banks and it is still modern. Modern, that means that your turn, Anders.
Anders Karlsson : Thank you, Jens. We are pleased to report another quarter of strong profitability with a return on equity of 20% and earnings per share growth of around 8% adjusted for the SEK 890 million in one-offs in Q1. Let me start with a side note. On 1st of May, we restated our 2022 and 2023 numbers to reflect organizational changes that have recently been implemented in line with our corporate strategy presented at the Investor Day. They primarily relate to the transfer of advanced corporate customers from Swedish Banking to C&I, as well as staff transfers between these two business areas and group functions. In addition to the restatements, there were further transfers of loans and deposits during the quarter between Swedish Banking and C&I. There were no effects on Group level overall. Now let's go through the financials in more detail, beginning with lending and deposits. The total loan portfolio was stable, excluding a positive FX impact of SEK 15 billion. Total private lending in Sweden had a small decrease of SEK 2 billion. The overall market trends remain the same with very limited new mortgage market volumes and elevated levels of extra amortizations. Total corporate lending in Sweden decreased by SEK 4 billion, excluding a positive FX effect of SEK 8 billion. In Baltic Banking, private lending increased by SEK 3 billion and corporate lending was flat, excluding FX. Customer deposits decreased by SEK 24 billion, excluding a positive FX impact of SEK 19 billion, although private deposits increased in both Swedish Banking and Baltic Banking, with SEK 5 billion and SEK 2 billion, respectively, excluding FX. Corporate deposits in Sweden decreased by SEK 25 billion, primarily due to C&I with a normal seasonal pattern of temporary deposit inflows in Q1, which are withdrawn in Q2, and corporate deposits in Baltic Banking decreased by SEK 7 billion, excluding FX. Turning to the revenue lines, beginning with net interest income, which increased by SEK 832 million quarter-on-quarter, mainly driven by a continued expansion of net interest margin in Baltic Banking. Overall, lending margins were lower for private and largely flat for corporates. Reminding you that rate changes have an immediate effect on the deposit side, while the impact gradually comes into effect on the lending side. With limited new lending volumes, increasing market rates and our pass-through abilities continue to be the main factors impacting NII. And in terms of outlook, our macro research team forecast a couple of more rate hikes from the ECB and the Riksbank before stabilizing towards the end of the year, i.e., high for longer. Let me reiterate that the NIM expansion is expected to narrow the higher the policy rates go. In this context, we have a good track record. We will continue with our proven pricing strategy and strive to strike an optimal balance between volumes and margins, subject to origination standards, market rates, market growth and competition. Over to net commission income, which increased by SEK 151 million. Card commissions were seasonally higher. Asset management performed well on the back of higher average stock market levels. And in Sweden, Swedbank Robur had net inflows of SEK 7 billion, driven by private inflows, which mostly went into equity and mixed funds. Securities and corporate finance decreased due to lower DCM activity. Turning to net gains and losses, which returned to more normal levels after the very strong Q1. Fixed income and FX sales and trading performed well on the back of good client activity. And in treasury, we saw a reversal of the positive revaluation effects of funding-related swaps from last quarter. Other income increased by SEK 194 million, primarily driven by a stronger performance in the insurance business, Entercard and the savings banks. Total expenses ended at SEK 5.7 billion. Quarter-on-quarter costs increased in line with the normal seasonal trend. The underlying cost development is as expected, and the cost income ratio went from [0.37% to 0.31%]. Regarding costs going forward, the annual headwind from inflation is expected to be slightly higher than assumed in our 15/25 plan. On the other hand, the inflation also implies that interest rates have moved higher and will stay higher for longer than previously assumed. The Lithuanian temporary bank fee was implemented, as of 16th of May, adding SEK 325 million quarter-over-quarter. For the full year 2023, we expect the Q2 monthly run rate to be a fairly good assumption, subject to changes in foreign exchange rates. The fee applies until the end of 2024 and is tax deductible. Now over to you, Rolf, to talk about asset quality and credit impairments.
Rolf Marquardt : Thank you, Anders. Economic development continues to be impacted by inflation and interest rates. This is putting pressure on many households and companies, but we also see that households and companies show resilience. A cornerstone for us is to be close to our customers, to know them well, to assist and to detect problems at an early stage. This we do, and it is particularly important during challenging times. What we have seen so far is that credit risk indicators are stable and at low levels, even though overdue loans increased somewhat in Sweden in the quarter. In the Baltic countries, levels were unchanged. When looking at the credit impairments for the second quarter, they ended at SEK 188 million. We saw a slight positive update of GDP in Sweden. This reduced provisions by SEK 22 million. Credit migrations and stage transfers in total added SEK 648 million, which was partly offset by a release of SEK 315 million from the expert portfolio adjustment. This is in line with expectations and the intention behind the expert portfolio adjustment to cater for potential credit migrations that are not completely captured by our models. A large part of this comes from the property management sector, where internal ratings were downgraded. Migrations also occurred in a few single cases within manufacturing and transportation. Individual assessments were once more at a low level and ended at SEK 29 million. Other factors reduced impairments by SEK 153 million. This is mainly explained by amortizations on volumes with higher risk. The expert portfolio adjustment is now SEK 1.7 billion, out of which SEK 466 million to property management. In property management, we focus on companies with strong cash flows and collateralized lending. The average LTV for the sector is 53%, where only 1.6% of the total exposure exceeds the 75% LTV level. The Swedish property management sector continued to do well in the second quarter. The sector is facing challenges from interest rates, but so far, not from vacancies and cash flows. From Q2 reporting, we see that all property management companies this far had reported increasing net operating income, and in most cases, positive net rental. Vacancy rates only increased slightly. Value adjustments also continue on top of the approximately 5% decline we saw up until Q1, 2023. This development is underpinned by a stable demand from most, but not all, sub industries and sectors, which supports the vacancy rates and improving cash flows. On the back of this, debt service tolerance, that is the breakeven interest rate increased to 7.4% for the 20 largest customers based on reported Q1 figures. The higher interest rates continued to negatively impact the interest coverage ratios that declined to 3.3x coverage on average for our 20 largest customers. When stressing these exposures with an interest rate of 7% on the debt that is maturing during the next 12 months, the average ICR goes down to 2.2x coverage. No company among the 20 largest ones below 1x coverage. During the second quarter, companies continued to manage their balance sheets, including divestments of properties, restructurings, capital injections, bond buybacks, canceled dividends and CapEx reductions. All in all, we conclude that the cash flow generation in the sector has been good, but companies continue to actively adapt to the changing conditions and that we are well positioned to manage also potentially deteriorating conditions. Against this background, we are comfortable with our asset quality in the property management sector and with the total portfolio. Now back to you, Anders, for some words on capital, I believe.
Anders Karlsson : Thank you, Rolf. Our CET1 capital ratio stands at 18.6%, with the buffer above the minimum regulatory requirements at around 350 basis points. Our capital requirements increased by 73 basis points this quarter, mainly due to the increase of the countercyclical buffer in Sweden. Next quarter, there will be a couple of moving components between capital requirements and risk exposure amount according to the preliminary SREP decision. All in all, the CET1 buffer will be largely unchanged, while the MREL requirements increases slightly. We will give you more details in Q3. The capital target range of 100 basis points to 300 basis points remains, and our capital position continues to be strong. And with that, I hand over to you, Jens, to conclude.
Jens Henriksson : Thank you, Anders. Let me summarize. Swedbank stands strong, and this quarter, we delivered a net profit of SEK 9.1 billion, a cost-to-income ratio of 0.31%, a solid credit quality, in total, a return on equity of 20.4%. A sustainable bank is a profitable bank, and by being that we contribute to our vision of a financially sound and sustainable society. Our customers' focus -- our customers' future that is our focus. With that, I give the floor back to you, Annie.
Annie Ho : Thank you very much, Jens. Let's progress to the Q&As, and I'll hand over to the operator, but also remind everybody that please stick to 2 questions per turn. Operator, over to you.
Operator: [Operator Instructions] Our first question comes from the line of Andreas Hakansson from Danske Bank.
Andreas Hakansson : Thank you. I have 2 questions on NII. If we start with your comment on this, that you said that the NIM expansion is going to be narrow the higher rates go, which is fine, and I think everyone expected that. But does that mean that you expect that the NII is going to benefit from each coming rate hike albeit less than what we've seen previously, but it's still a benefit. That's my first question.
Anders Karlsson: Thank you, Andreas. And the answer to that question is yes.
Andreas Hakansson : That's good. Then on -- also on NII. At some stage, rates are very likely to start to go down again, and we would then, of course, have an impact on the deposit side. But how do you think that your mortgage margin is going to develop once rates start to go down given that they are record low at the moment?
Rolf Marquardt : Well, we don't give forecast on margins. But what we've seen during this quarter is a decrease of the margins down 6 basis points in Sweden, and I think it's 9 basis points in the Baltic region.
Andreas Hakansson : Okay. I leave it at that then. Thank you.
Operator: Our next question comes from the line of Rickard Strand from Nordea.
Rickard Strand: Starting off with the NII question on the LC&I Division, where I think NII increased somewhat more than I expected. I just want to hear your comments there about the underlying drivers there. It says in the report it's due to deposits, but we also know that there's quite high competition for deposits. So I just wanted to hear your thoughts there on the development on NII in the LC&I Division?
Anders Karlsson: Yes. First of all, I think you should be a little bit careful. We are in the midst, as I said, of restating and transferring volumes between the different business areas. So that will -- one single quarter will not give you the answer to sort of the normalized level for C&I. But it is correct, a fair amount of deposits that were with -- coming from advanced corporates in Swedish Banking with administratively set rates were transferred to C&I during the quarter, and they benefited from expansion of NIM on the back of those deposits mainly. So -- but again, be a bit cautious with 1 quarter before you make any forecasts on C&I's development.
Rickard Strand: Okay. Thanks. And then on asset quality and loan losses, you choose to release around SEK 300 million of your management overlay buffer in the quarter and adjust for this release, then the underlying loan losses would have been at around 11 basis points, which is still quite low. Just want to hear your reasoning here about the timing of the -- this release of the management buffer. Why you're not choosing to hold on to it longer or if it's confidence about the development going forward that makes you confident to start releasing it now?
Rolf Marquardt : Thank you, Rickard. So the reasoning behind this and the intention we've had with the management overlays to cater for potential future migrations that are not being captured by our models and -- then what happens is that when we start to see those migrations, we will mitigate that impact. So that is the intention and that is exactly what you have seen during this quarter. We have made an exercise, where we always on an annual basis go through customers and could have rating migrations from that, but then, we have also made another review, and then, we saw further migrations, and we mitigated that through using the reserve. So that's the intention.
Operator: The next question comes from Sofie Peterzens from JP Morgan.
Q –Sofie Peterzens: Yes. Hi. Here is Sofie from JPMorgan. So just going back to the asset quality and kind of looking at the Stage 2 increases. So Stage 2 increased, I think, 11% quarter-on-quarter, but if you look at, for example, property management Stage 2 increased from SEK 32 billion to SEK 42 billion in the quarter. We also saw mortgages Stage 2 loans increased from SEK 81 billion to SEK 86 billion quarter-on-quarter. So I was just wondering like will it be make more sense to be a little bit more kind of cautious and stick with these provisions that you have – the expert overlay provisions that you have on balance sheet and just kind of see how it pans out or what kind of makes you so confident that, that things are not going to get worse, and you’re not going to see any losses. So that would be the first question? And then the second question is that you kind of mentioned that the NII benefits will be lower from coming rate hikes, but if I look in your fact book, you still guide for around SEK 6.4 billion of additional NII from 100 basis point rate hike. How should I kind of think about these 2 comments then and are there some differences and kind of what are – are those differences? And then, just the – the last question would be on the cost outlook. You mentioned that annual cost inflation is coming higher than expected. If you could just elaborate kind of what kind of cost inflation, we should be kind of thinking about in ‘23 and ‘24, please?
A –Rolf Marquardt : Thank you, Sofie. And I’ll start with the first one on asset quality. I think you need to look at the big picture here. So if you see – look at the provisions we have made in previous quarters, you see that we have had a quite extensive impact from macro on our provisioning levels. So that meant – that means that we have built buffers to cover for the impact from what you see in the macro picture. So that should – that feeds into the picture. And then on top of that, we have added the management overlay. And then, I mentioned in – on the previous question that, that intention behind that was to cater for potential further migrations and when we see those happen, then we used to reserve, as intended. So I think we are well covered and well prepared for potentially future negative developments in that end. And then also to comment on the migrations, yes, we had a migration from Stage 1 to Stage 2 in the CRE sector, and that was related to the exercise I commented on. And in the mortgage book, we continued to see some migrations, not as big as the ones we saw on the previous – during the previous quarter, but that is exposures with a very low level of risk, but they had – had a move in PDs, but at very low levels. So that is what is behind that development.
Jens Henriksson : Yes. And Sofie, on the NII sensitivity, let me – I would go back to our presentation on the Investor Day, where you can clearly see the balance sheet structure much more sort of transparent than you do in the fact book. But the fact is that, as you know, we have automatic effects if there would be increases in market rates. We have provided you before with a sensitivity, which is more or less unchanged if you – so you can use the Investor Day numbers, where we assume 0 pass-through on transaction accounts and full pass-through on other assets and liabilities. And as you are probably aware of, that has not been exactly what has been happening, but that is for you to play around with. And so the 50 basis point scenario still stands with a SEK 3.2 billion upside for the Group, of which SEK 1.4 billion is coming from Baltic Banking. And when it comes to the cost inflation headwind, it’s all about a number of larger vendor contracts that will be up for renegotiation in the end of this year taking effect next year. We have not been impacted that much by those yet. But since inflation seems to be more sticky than we thought from the beginning, they will most likely be impacted during the end of this year going into 2024.
Operator: The next question comes from Jacob Hesslevik from SEB.
Jacob Hesslevik : Yes. I was just wondering if you could give any more color on the decrease within corporate deposits in Sweden. Was it driven by any specific sector or was it across the board?
Anders Karlsson: It was primarily institutional money that were placed with us in Q1, and now they were withdrawn, and that is a seasonal pattern we have seen. But then you have seen some withdrawals across the sectors, but nothing specific other than the institutional money.
Jacob Hesslevik : All right. That's good to hear. And then my second question is, if you could maybe quantify the impact of Basel IV a little bit more. You write in the report that you expect a minor impact, but do you have any comments on the different components?
Rolf Marquardt : No, we actually don't because we -- what we have stated in the press release is that the impact is very limited when you take all the different pieces into account. And then the impact on the Pillar 2 requirement was 30 basis points, the proposal. It's not the final one. And then, we will come back in the third quarter with more details about that. And then regarding Basel IV, we have given guidance in -- during the Investor Day, so the assumptions we made then and what we communicated still holds.
Operator: The next question comes from Martin Leitgeb from Goldman Sachs.
Martin Leitgeb : I just have 2 questions with regards to how to think about NII progression going forward. And the first one, just looking at the deposit side, so we have seen some migration from transaction account into savings, and I believe from savings account also into time. I was just wondering how do you see this progression? And do you expect this to continue over the coming quarters? And the second question, just with regards to the mortgage margin comment made earlier. I was just wondering if you compare -- if you were to assume that the back book of mortgages rolls over at the current pricing, could you quantify how much of a headwind this would be to NII? Thank you.
Anders Karlsson: Thank you. If we start off with the first one, I think you should separate between Sweden and the Baltic countries when it comes to the migration that you described. When it comes to Sweden, transaction accounts are very stable. You have seen some further migration from saving -- on-demand savings accounts to term in the quarter. I think it was around SEK 6 billion for private in Sweden. In the Baltics, the variety of savings opportunities are less. So the majority of the savings are on transaction accounts. And there you have seen a continuation of migration from transaction accounts to term in this quarter SEK 11 billion. I wouldn't -- I will not give you a forecast on that moving forward. But the one -- the customers that have -- has the opportunity and the possibility to get higher interest rates are doing that. For many of our customers, that is not worthwhile doing. So I'm not overly worried about strong -- strong migrations continuing. And on your second question on -- if I were to roll over the whole mortgage book at front book pricing, I don't have any indication to give you on that one.
Jens Henriksson : Could I follow up a bit, Anders, and just say a few of the numbers, what we actually deliver to our customers. In Sweden, we are now paying 0.25% on all private transaction account, and there is no upper limit. So that means that you can put whatever amount you want there. On on-demand savings account is when you get 1.85%. And if you come to us and can lock it in for 1 year, we can give you more than 4%. So that's a very good offer. In Estonia, for instance, you have a 12-month term deposit, you can also get to 4%. So I would say we have a very competitive offering here to our customers.
Operator: The next question comes from Johan Ekblom from UBS.
Johan Ekblom: Can we maybe just come back to the asset quality? And I'm trying to understand why we're seeing such different credit rating migration between the banks. I mean, you seem to be seeing a much faster increase in Stage 2 loans than a number of your Nordic peers. Is this just due to how your models work relative? And we're seeing that kind of transfer from overlays into actual stage migration, and that's a decision you made in how you run your IFRS 9 models? Or should we read anything else into the sharper increase in Stage 2 loans?
Rolf Marquardt : Thank you, Johan. So I think what is driving the transfers to Stage 2 is actually 3 things, and that could differ between banks and that you need to keep in mind when you are comparing us with other banks. So the first one is migrations and how the bank calculates that and that can differ between banks. Secondly, we are putting in place thresholds that define what is an increased level of risk that could be done in different ways. And then you have the macro component and how that translates into migrations could be done in different ways. So the method you use will give different outcomes. So the intention behind this regulation and what we'd like to see is that when you have a general economic downturn, that could potentially have an impact on asset quality, generally speaking. And then you would expect to also have an impact on the provisions and that is what we see when we use our model. So that means that we are building buffers at an earlier stage. And that is the way our models are functioning, and I think that's the explanation you should keep in mind. I also think that when you want to compare, then it's probably a good thing also to look at the Stage 3 provisions because that's much less model driven. So there, you give -- get a figure that is easy to compare.
Johan Ekblom: And just a follow-up, I mean, in your discussions with the regulator about kind of risk and future capital planning, et cetera, how does it feature that the model seems to be running or coming out with such different outcomes for what's presumably is a -- maybe some variability, but not that much in terms of macro assumptions, et cetera. Do you get the same -- can they standardize and treat the banks the same? Or do they only look at kind of the actual stage ratios? Or how does that feature into the conversation?
Rolf Marquardt : So just to underscore that, I don't think our models are overly sensitive. I think they are fit for the purpose. And then, when it comes to -- I mean, we do this the best way we can, and then we don't have any further discussions with the regulators about this, I must say.
Operator: The next question comes from Namita Samtani from Barclays.
Namita Samtani: I just got one question, please. If gross costs are going up, which it sounds like they are given the speculation, do you have any offsets to that, whether it's automation of processes, reducing layers of bureaucracy, reviewing outsourcing contracts or digitalization and efficiency? Thanks.
Anders Karlsson: Thank you. Yes, we have, and I will not go into the details, but we are running a structural cost program within the bank to mitigate part of the headwind that comes from inflation, and the fact that we are keeping up our investment agenda on a high level, preparing the bank for the future.
Operator: The next question comes from Jens Hallen from Carnegie.
Jens Hallen: Yes. 2 fairly quick questions on CRE. First, just looking at the average LTVs, I mean you have 51% average LTV for your largest exposure. Can you give us a rough estimate of how much of that is actually bank loans that are [so you need to] bond funding, i.e., I presume your risk is much lower than that?
Anders Karlsson: So that is to a very significant degree, bank loans.
Jens Hallen: Okay. Thank you. And then, yes, just on the second one, on the stress test for ICR. I mean, so your stress test maturing within the next 12 months, but can you give us an idea what happens in year 2, year 3 i.e., if you keep rolling forward the 7% funding cost, at what time do we start to see ICRs falling below 1, will give us an idea of how much time the companies have to either restructure or hope that revenue catches up?
Rolf Marquardt : So what we give you now is the stress you have in the slide and that we have presented, and you could run these calculations in different ways. So -- and we see that if we have high rates for longer, of course, it impacts. But then you also need to start to take into account different actions that these companies are taking and also the impact from increased rents, vacancy levels and so on, so then it becomes less of a guidance, I would say. But what we do see is also a change that is ongoing in the market, where these companies are mitigating the situation, especially the ones that are more leveraged are mitigating the situation to meet these higher interest rates.
Jens Hallen: Okay. And maybe I can -- I fairly -- I can understand that you can't provide any details. But I guess, what I'm trying to establish is like within LCR, do you see like a significant cliff effect after sort of in month 13? Or do you think this is a good indication of the risk in the portfolio, of course, over time, and the company should be able to do something increase revenues, restructure set assets, et cetera?
Rolf Marquardt : So what I can say is that the average interest rate fixing they have in this portfolio is approximately 3 years. So it takes time for this to feed through. It gradually has fed through, as you can see in the numbers of the different quarters. And then, if we look at higher interest rates for longer -- high for longer than, of course, it impacts, but we also see that they have a good ability to stay above the 1 level.
Operator: The next question comes from Jacob Kruse from Autonomous.
Jacob Kruse : Jacob from Autonomous. Could I just ask on the Baltic NII? Firstly, are you paying for transaction accounts in the Baltics as well? And if not, are you planning to introduce that in the Baltics? And secondly, the term deposit increased quite rapidly in the -- in this quarter, and I think you said you weren't too concerned of much further flows from transaction into term deposits. So are you already seeing a slowdown in the pace of term deposits? Or is that more sort of future outlook for Q3, Q4 when you think about the shift to the deposit product? Thank you.
Jens Henriksson : Thank you, Jacob. No, it was not any scientifically proven fact that I gave you. It's more the dynamics within the Baltics and the customer base and how the structure of the transaction accounts looks. I'm not in any way ruling out that the ones that can, will continue to migrate, which in a sense is good. I think on your first question, no, we are not paying on transaction accounts generally speaking, what we -- but we do pay for deposits in the Baltics. So for around 20%-ish of the deposit base, we pay interest on average around 2.2%. So we are paying, but not on transaction accounts. And at this point, we do not have any intention to do so either.
Jacob Kruse : Okay. And on the transaction account point is, you're not paying transaction accounts for corporates in Sweden either. Is that right?
Jens Henriksson : Correct.
Operator: The next question comes from Riccardo Rovere from Mediobanca.
Riccardo Rovere: Just one, if I may. Sweden is right or wrong is supposed to enter into a recession in 2023. Now this one way or the other should be somehow captured by your internal models when you have to calculate 12-month expected losses or lifetime expected losses under IFRS 9. Now, and obviously on commercial estate, if we have not seen anything on your credit losses, so far, despite this should be somehow included new calculations despite the tightening that we have seen so far, despite the fact that CRE exposures are supposed to be struggling since a while. And in considering that your LTVs continue to remain either on residential mortgages or on commercial estate in the 50% area. What should happen for the situation to suddenly revert? Would you need Sweden to enter in a 2% recession to see something? How do you see this? Thanks.
Rolf Marquardt : Thank you, Riccardo. So first of all, to comment on the way the models are supposed to work. Regarding the macro development, what you're referring to is what we have seen over the previous 4 quarters when we've had macro provisions being made. This time, that was not the case because the macro forecast was quite stable or actually improved a bit in Sweden. What it would take to cause a disruption that would start to impact on asset quality, especially on the property management side, I would say it takes a deep recession that would start to put pressure on vacancy rates and rents, and also unemployment rates to start to increase. But that's my best assumption. Thanks a lot, Rolf. Thanks.
Operator: The next question comes from Magnus Andersson from ABG.
Magnus Andersson: Two questions, one on NII; and the second one on capital. Starting just a follow-up on NII. We see that more than 80% of the quarterly increase was from the Baltic, as you also mentioned, Anders. If you think about the NII dynamics from here in terms of lending, deposit volumes, margins, et cetera, do you still think that -- do you think that the NII will remain flat pretty much in Swedish Banking. It was up slightly also in Corporate Institutions, although marginally in absolute terms, meaning that it primarily will be the Baltic Banking business that drives NII from here when we get the further rate increases during the second half?
Anders Karlsson: Thank you, Magnus. As you know, the Baltic Banking dynamics is completely different from what we see in Sweden. And as I've been saying, the higher the rates go, the narrower the NIM expansion will become. Having said that though, bear in mind that we are phasing in effect on the lending side, while the effects on the deposit side comes immediately. And if you look at the quarter, you can also see that we have seen a NIM expansion on the back of higher deposit margins for transaction accounts on corporates. So the magnificent increase you have seen is -- over the past 3 quarters will gradually phase down, but let's see how it turns out for the next coming quarters, having the phasing of lending in the back of your head.
Magnus Andersson: Do you think -- will you be able -- just to follow-up on that, will you be able to keep NII flat on a quarterly basis, you think, within Swedish Banking?
Anders Karlsson: I will not guide on that, Magnus. It's up to you to take my information and do the best out of it.
Magnus Andersson: Okay. Secondly, just on capital. I was wondering if you see the 50% payout ratio, as steppingstone until you get the potential U.S. fine given that, I mean, you're now running at an ROE of above 20%, which means that your capital buildup is going to be very strong in the scenario you are describing?
Anders Karlsson: Well, that is correct.
Magnus Andersson: Okay. So it will be 50% until you get the fine regardless of profitability and capital buildup and CET1 ratio progression?
Anders Karlsson: Well, that is the capital dividend policy we have. And we said that we have uncertainties due to the U.S. investigations, and I have nothing to add on them. And that we do not know whether we will get any fine. And if we do get the fine, we cannot make an -- a good forecast how large such a potential some would be. So that is -- until then, we stick with the 50%.
Operator: The last question comes from the line of Piers Brown from HSBC.
Piers Brown: It's actually Piers Brown from HSBC. It's just on the Lithuania bank tax, so that's come in a little bit higher than what I had in my model, and I think that's just because the second quarter NII number for Lithuania is also quite a bit ahead of what I had. So I'm just interested in your comment that Q2 is a [Technical Difficulty] excuse me?
Annie Ho : Sorry, just carry on. There is some noise from the operator.
Piers Brown: Okay. Right. Yes. So I'm just interested in your comment that the Q2 tax level is the right sort of run rate going forward because that obviously implies that you think the Q2 NII number for Lithuania is sustainable. And I would guess that given our margins are at that -- that seems like quite an interesting assumption, but if you could just comment on that? And then also, just on a broader perspective, how do you assess the risks of the bank tax either being extended or possibly replicated in other jurisdictions? And just on this point, I guess, what I'm looking at is the returns on equity that you're now generating in the Baltic businesses, which are above 40% in each of Estonia, Latvia and Lithuania. So just how you assess the risk of other?
Jens Henriksson : Well, thank you. Let me start then. First, let me once again underline that we are extremely proud to be the largest retail bank in Lithuania, and we have a long-term commitment to Lithuania is one of our 4 home markets. If you look on the average return in Estonia, Latvia, and Lithuania during the last 15 years, it's been 8%, 10% and 12%, respectively. And therefore, we -- I am of the view that sort of push through tax in this way is the wrong thing to do. And I share the opinion of the ECB that this tax reduces incentives to finance the real economy and is thus negative for Lithuania both in the short and long term. When it comes to Estonia, they have just decided on a tax reform. And when it comes to Latvia, there are some discussions, but we've not seen any results of that.
Anders Karlsson: And on your first question, it's an estimate. It's a couple of moving parts in that specific fee structure, and it's also dependent on the FX rate development between Swedish krona and euro, but I'm not to forecast any of it. So that's the best estimate we can give you at this point. And please remember that it's tax deductible.
Jens Henriksson : Thank you, Anders. Could I just steal the word and say thank you, everybody, for calling in. And from us at Swedbank, wish everybody a good summer. And remember, Swedbank stands strong. Take care.